Operator: Good day, ladies and gentlemen and welcome to the Matrix Service Company second quarter 2009 earnings results. At this time all participants are in a listen only mode. A brief question and answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Truc Nguyen, Investor Relations for Matrix Service Company.
Truc Nguyen: Thank you, Melissa. I would now like to take a moment to read the following. Various remarks that the company may make about future expectations, plans, and prospects for Matrix Service Company constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our annual report on Form 10-K or our last fiscal year and in subsequent filings made by the company with the SEC. In addition, some of our comments today include a non-GAAP financial measure. I encourage you to refer to the reconciliation of GAAP to non-GAAP financial measures that is posted on our website and included in our earnings release. Matrix Service has provided the necessary reconciliation in our press release to disclose a non-GAAP financial measure in this conference call. EBITDA is provided as we believe the financial and investment community utilizes this measure to assess our performance and evaluate the market value of companies considered to be in the same business as ours. I will now turn the call over to Michael Bradley, President and CEO of Matrix Service Company.
Michael J. Bradley: Thanks, Truc, and good morning everyone. Tom Long, our Chief Financial Officer, is with me on the call this morning. We appreciate all of you joining us to discuss our recently completed second quarter fiscal of 2009. In addition to our quarter results, we have two other significant events that I would like to discuss as well. Before I turn the call over to Tom to discuss our financial results, I would like to cover the following. The first is the overall business performance during the second quarter of fiscal 2009. Second is our outlook for the second half of fiscal 2009. Third is the longer term outlook for Matrix Service, and fourth is the CB&I acquisition and the new award we announced today as well. To begin with, I am pleased to report that Matrix continued at solid operating performance in the second quarter of fiscal 2009. Revenues in the quarter were $176.9 million as compared to $194.7 million in the same quarter of fiscal 2008. Despite the lower revenues resulting from the changing economic conditions, our employees delivered both record net income and record fully diluted EPS in the quarter. Net income for the second quarter of fiscal 2009 was $10.1 million as compared to $0.2 million in the second quarter of last year and $9.5 million in the first quarter of this year. Fully diluted EPS was $0.38 in the second quarter of this year versus a fully diluted EPS of $0.01 in the second quarter of last year and $0.36 in the first quarter of this year. The year ago quarter included a $16 million charge from our previously completed LNG project. Our team employees executed extremely well, achieving a consolidated gross margin of 14.9% for the quarter and we’re extremely proud of the efforts that they are putting into this business to continue to improve our overall performance. While we are very pleased with the first half of our fiscal year, towards the end of the calendar year we began to experience some stronger headwinds to our business as the economy and specifically credit markets continued to falter. Some projects that we were anticipating were delayed and pushed into calendar 2009. Additionally, some of our clients began to hold back on their capital and maintenance plans as they fully assess the impact of the economic turmoil on their particular business. The majority of the impact to Matrix Service is in the AST and terminal business where we have seen some delays and/or reduced scopes on projects that we had expected to begin work on in late second quarter or early third quarter. As a result we now expect to achieve an EPS around the low range of our initial guidance of $1.35 which is still an increase from fiscal year 2008. However, with lower material costs and delays anticipated, we expect revenues will be 10% to 15% lower from our initial guidance. While it is difficult to predict the next 12 months, what we see on our plate today, however, is encouraging. Despite a softening in our core AST and Terminal Business and Delays, we essentially maintained our backlog. Additionally, we were recently awarded a $38 million power project, have now closed on the CB&I acquisition, both of which are not included in our November 30 backlog numbers and I will comment more on these later. Also, our fiscal prospects remain very strong in an excess of $2 billion across a broader geography and more diversified market. We have some significant projects that still look very promising and continue to develop. We also continue to see strong growth opportunities in the high voltage and related ENI infrastructure market. The talent and capabilities we have in the organization have positioned Matrix Service to expand our universe of prospects including some low risk international opportunities currently in our pipeline. The power project we announced is one example of how we have positioned our business going forward. While the AST markets softened in the latter part of calendar ’08, we still see a good pipeline of potential AST projects planned for calendar 2009 at this time. We expect repair and maintenance to remain solid with a strong fourth quarter in the turnaround business. As evidenced by our strong gross profit levels, we have continued to see improvement over the past several quarters excluding the LNG project. Improving execution as well as improving the tools to utilize is having a positive impact which has been one of our focus areas and our employees continue to achieve outstanding project execution across all markets. Regarding our liquidity and cost structure, we have a very strong financial position with no debt. We do plan to reduce our capital spending this fiscal year to around $13 million from the previously stated $25 million. This will not impact our business strategy, but will further strengthen our financial position and allow us to be opportunistic in this current environment. We recognize that our SG&A is increased as we have made investments to improve our performance and to add to our talent base. The employees we have in this company have positioned us extremely well as a leading energy service provider with much broader capabilities. However, we have already taken steps to reduce our cost structure and are prepared for further cost controls if necessary. But I do want to reiterate, our good flow remains strong, which is positive for the long term. We have some very interesting near-term prospects that we continue to develop. Finally, we closed on the CB&I acquisition in December. This acquisition expands Matrix Services Engineering and Construction Resources used to design engineer and construct single and full containment LNG storage tanks, land locked storage tanks, LPG storage tanks, and thermal vacuum chambers. We would like to welcome the highly trained professionals who are now a part of Matrix Service. In addition to these new employees, the Company acquired tools, equipment and backlog of up to $20 million which are expected to be completed over the next 24 months. Also included in the transaction is a perpetual license to use CB&I’s technology necessary to design, engineer, and construct [inaudible] vessels and thermal vacuum chambers. This acquisition will strengthen our offerings in key markets for highly specialized engineering and construction services. While the technology, personnel, assets, and backlog acquired will bolster opposition, in these specialized markets, they will also be utilized to enhance the capabilities in our remaining business lines and enable us to continue to provide exceptional service to our customer base. Additionally, today we announced the award of a $38 million contract with PSE&G Fossil LLC, a subsidiary of PSE&G Power for the steel plate construction of a Selective Catalytic Reactor project at its Hudson generating station in Jersey City, New Jersey. We expect work on this project to begin this month and plan for the project to be completed by October 2010. We are very pleased to be selected by PSE&G as a prime contractor for this important SCR installation. This project supports our strategy to expand our capabilities and diversify our markets. In summary, we are very proud of delivery record EPS during the first half of this fiscal year with an expectation to achieve record earnings for the full fiscal year. Our sales and project capabilities have positioned us to expand our reach of opportunities in energy and industrial infrastructure and service market which is supported by the expanded number and diversity of prospects that we see in our bid flow today. We are sitting with cash and no debt and we continue to believe that revitalization of our nation’s energy infrastructure, a greater emphasis on renewable energy, and other infrastructure projects will be a key component of the new administration and plays well with how we have positioned our business for the long term. I will now turn the call over to Tom who will go through the financial details of our operating results and provide an update of our 2009 earnings guidance.
Thomas Long: Thanks, Mike. The specific details of the results of the second quarter and first six months of fiscal 2009 were disclosed in our press release this morning. So I will highlight a few items. Total revenues for the second quarter decreased to $176.9 million from the $194.7 million we reported in the second quarter of fiscal 2008. Looking at that on a segment basis, Construction Service revenues did decline to $100.1 million from $116.2 million in the same period a year earlier. This was the result of lower revenues from the Above Ground Storage Tank and specialty markets, partially offset by higher downstream petroleum and electrical and instrumentation revenues. As Mike mentioned earlier, gross margins have improved to 12.7% due to strong execution. Revenues for the repair and maintenance segment was $76.8 million versus $78.5 million a year earlier. The change was due to lower downstream petroleum revenues largely offset by higher above ground storage tank revenues. Gross margins in the second quarter of fiscal 2009 improved to 17.7% as compared to 16.7% earned in the second quarter of last year. Once again, very strong operating results there. Consolidated SG&A expenses remain flat for the quarter at $11.8 million. This in comparison to the second quarter of fiscal 2008. EBITDA increased to $17.2 million and net income, as Mike mentioned, increased to a record $10.1 million or $0.38 per fully diluted share. As to the six month results ended November 30, 2008, consolidated revenues increased to $363.6 million from the $356.1 million recorded in the year earlier period. EBITDA for the six month period increased to $35 million from $14.1 million in the same period last year and net income increased to $19.6 million or $0.74 per fully diluted share compared to $6.5 million or $0.24 per fully diluted share produced in the comparable period last year. Kind of one last point moving on to our liquidity, as Mike mentioned, yet our cash balance at November 30 was $13.5 million. And, once again, we have no bank debt that at the end of the quarter and have $70.4 million of available capacity under our $75 million revolving credit facility that matures in 2012. So, as you can see, we’re maintaining a very strong financial flexibility in order to continue to execute our long-term growth strategy here. With that, why don’t we go ahead and open it up for questions.
Operator:  (Operator Instructions) Your first question comes from Matt Duncan with Stephens Inc.
Matt Duncan – Stephens Inc.: Yes, the first question I’ve got, Mike, I’m just maybe looking for a little bit more discussion around the AST business. You know, the business obviously was down on the construction side this quarter. I’m curious if maybe you can give us a little bit of insight to some of the projects that were delayed out of calendar ’08 and into calendar 2009. If I look at sort of the quarterly revenue run rate for that business on the construction side, is it sort of a new phase that you put in this quarter? Could we maybe see further deterioration of that revenue stream?
Michael J. Bradley: Well, I think maybe - let me talk about the AST market in general, Matt. Fourth quarter obviously was a difficult period for the financial markets and credit markets. And essentially what we began to see is that some projects that we had expected to be rewarded were put on hold and essentially deferred into calendar 2009. What we see today in the bid flow for AST is still very positive. What we think has really happened here is there was just a deferral as we got through the end of the year and companies re-evaluated their capital spending plans. So I think that, you know, we view it right now as a period that will recover. To the extent, it’s hard to predict right now. Again, I think a lot of it depends on what happens in the economy going forward. But there are some very interesting store projects still on the books and being planned. So I would not necessary take this as a new level. I think what we saw is the deferral and generally we would have expected material revenues to show up first. And because of the deferrals those material revenues did not show up. And, again, as we have stated before, the revenues in our AST business have always been lumpy. One, you get awarded projects, you see a bump up in revenues because of material purchases and then, you know, you may see a quarter where there are no material purchases. So it’s always been relatively lumpy.
Matt Duncan – Stephens Inc.: Okay. Appreciate the commentary there. Looking at the downstream repair and maintenance business a little bit I was surprised that those revenues were flat sequentially on what is typically a seasonally strong quarter with the fall turnaround season. You know, maybe if you could talk about the impact of the hurricanes on the fall turnaround season and if there’s something else in addition to that that influenced those revenues, you know, to be flat sequentially, if you could talk about that, that’d be great.
Michael J. Bradley: Well, I would say that, first of all, in terms of the revenues that we projected in our budget for 2009, we were pretty close to being in line with where we expected on the turnaround business in the second quarter. Hurricanes really did not impact us on the turnaround business, per se, given that in our current turnaround activity and our customers are really located in other parts of the country. I’ve talked about our addition of turnaround capabilities in the Gulf Coast and that continues to proceed forward, but in terms of hurricanes as a relation to Matrix, it really did not have an adverse impact. What I will say though is that we did say small turnaround projects, particularly towards the end of the calendar year, get deferred into ’09. Not a large number, but we did see some deferrals during the latter part of calendar year 2009.
Matt Duncan – Stephens Inc.: Okay, last question here and I’ll jump back in queue. Mike, if you could talk about sort of what the makeup is of the $2 billion of projects, the kind of the bid flow that you’re looking at, maybe talk about kind of what kind of projects are those and are those projects that have already received financing and might be a little more likely to go forward.
Michael J. Bradley: In terms of bid flow, Matt, in terms of where we were say 60 days ago, 90 days ago, our bid flow has really stayed strong and we have not seen any material reduction at all. Projects that we had on the books 60, 90 days ago as prospects, some have been canceled, but they have been replaced by other projects. I would say that our mix of projects include obviously AST. We’re seeing high voltage, power opportunities, that entered now in our prospect list. We’re seeing some alternative energy projects [downstream] [inaudible]... We’re seeing a much broader cross section of projects. We’re really encouraged about what we see going forward over the long term in the high voltage and ENI infrastructure business. That’s an area that I’ve talked about that we’ve focused on rebuilding and we’re starting to see some nice progress in that particular area. We also have some international opportunities in our pipeline right now that we haven’t had in the past. These are what I would call lower risk opportunities that fit extremely well with our risk profile and capabilities.
Operator: Your next question comes from Rich Wesolowski with Sidoti and Company.
Rich Wesolowski – Sidoti and Company: Could you discuss how much of your current backlog is in fixed price rather riskier type jobs and to what extent you would permit that share to increase as owners, I would say inevitably gain more bargaining leverage than they’ve had in the recent past.
Thomas Long: Our mix today still remains around one-third, one-third, one-third of lump sum cost plus and time and material and we really haven’t seen any significant change in that mix as it relates to our backlog and current backlog. We are very comfortable performing lump sum projects in certain areas. Obviously in the AC business. So we’re very comfortable with the risk profile of what we see in our backlog right now. I think that we have seen some indications of companies pushing more towards lump sum versus cost plus and time and material, however, some of those opportunities fit right in our sweet spot and so we’re not concerned at all about that. The riskier projects are still within our risk profile, that kind of mix, so I’d say at this point, we’re not concerned about what we’re seeing in terms of contracting. On smaller projects I think there are definitely more competitors out there today than there have been and I think that’s just a reflection of the slowdown in the market. I think our strategy has been and continues to be to focus on areas where we have a competitive advantage, we have specialized skills and talents, and that strategy is not changing.
Rich Wesolowski – Sidoti and Company: Okay, so you wouldn’t put some kind of arbitrary cap on where your lump sum percentage should grow, just rather where the market takes it?
Thomas Long: And where we’re comfortable, okay. We’re not going to take on a high risk project where we lack skills and make it a lump sum. We’re not just buying jobs to get out there and do work. We’re going to focus on maintaining our risk profile and on projects we feel comfortable with lump sum. We’ll continue to go forward with those.
Rich Wesolowski – Sidoti and Company: There’s been a pretty wide disparity in your construction margins if you look over say a period of the last five years. Is it too simplistic to say that management is either aiming to hold the line of the bid margin at the expense of volume if the bidding activity gets tight over the next year or so, or conversely, aim to keep your people busy by aggressively getting new work and keeping the backlog up?
Thomas Long: I think at this point, Rich, the projects we have in our pipeline and the projects we’re focusing on continue to fit the kind of margin profile that we have been targeting. In addition, we have been spending a lot of training and investing in improving the skills and the tools we use on project estimating and project controls to continue to improve our ability to execute all types of projects successfully. We’re not at a point where today that we see a need to go ahead and lower margins to get work. I’m not going to say that environment wouldn’t exist in the future. I think there are areas in some projects where that is happening and we’re not focused on trying to take on high risk projects that could end up binding us in the next 6 to 12 months. We’ve been there, done that, and we’re being very cautious in that respect.
Rich Wesolowski – Sidoti and Company: Okay, that’s good, then lastly, the [ford] oil curve has swung dramatically to where the storage capacity is a lot more valuable than even in mid 2008. Has this had any effect at all on your midstream customers plans, the AST market, or would you think the time lag in actually getting new tanks [inaudible] let the opportunity go?
Thomas Long: I think there’s several phenomenon centered around the storage, particularly as I saw it going into the end of calendar year ’09. I think one is just financing and credit market and traders and storage players just could not get the financing. Second is it takes 12 to 18 months for a decent size storage project to be completed and so there’s always a lag and kind of a wait and see attitude. But again, what we see in terms of what’s developing in our bid flow right now in the AST business is still encouraging so I think some of the financing issues have been resolved with some companies and there are companies that have cash and have approved budgets to go forward with storage, so I think we got caught in this lag period here that we just can’t recover given our fiscal year is ending here in 5 months.
Operator: Your next question comes from Mike Harrison with First Analysis.
Michael Harrison – First Analysis Corp.: Just wanted to follow up a little bit more on the downstream portion of repair and maintenance. I don’t think you really fully answered the question on this is normally a seasonally strong quarter for that part of the business and why is it then that we saw revenues flat from your fiscal Q1 into this quarter. You kind of suggested that there was some deferrals and minimal hurricane impact but yet revenues were down 29%. Can you give us some more detail there?
Michael J. Bradley: I think as I stated, first of all, our turnaround cycles, we do not operate in the Gulf Coast today although we are beginning to operate. The Gulf Coast did not have an impact on us. So the hurricanes did not impact us. Fourth quarter is typically our strongest quarter in the turnaround business and what we have projected for Q2 this year in our budget is pretty well where we landed on that. Last year’s second quarter, I have to go back and look, there could have been some emergency turnaround work that picked up, but nothing surprised us in our Q2 as it relates to that other than there were some deferrals of turnarounds that we had planned in the second quarter.
Michael Harrison – First Analysis Corp.: Okay, and maybe a question on the projects that you’re tracking, last quarter you talked about well over $1 billion in projects that you were looking at, now you’re talking about $2 billion. Can you maybe discuss what’s giving you more comfort or confidence in terms of talking about a bigger number now given the economic environment that we’re seeing?
Michael J. Bradley: I think we’re confident on a bigger number because we’ve improved our skill set in the types of projects we can pursue and we’ve also added sales capabilities to expand our reach of prospects in geography. A year ago there were projects that we would not bid that are on our plate today, particularly I comment on the recent award that we received today from PSE&G. We’re seeing quite a bit of high voltage and ENI activity, a lot more than we have seen and part of that is because of the talent and resources that we have added that are allowing us to bid on larger priced projects as well as a greater number of projects. In the Gulf Coast area, a year ago we had a very small office in the Gulf Coast and essentially most of the specialty capital destruction people were tied up on LNG. They are now located in the Gulf Coast and we’ve seen a significant increase just in that region in bid flow and project opportunities. So that’s what we’re seeing and why we’re comfortable in this market and what I will say is we are very cost conscious and have taken steps already to reduce our SG&A costs, but we are not cutting back on our sales and project development efforts because one, as we see opportunities and we see some interesting prospects, and we feel very good about what the potential is, so we’re not cutting back there at all; in fact, we’re expanding that area and continuing to add to our prospect list. I think if I compare a year ago, there are projects on our board right now that we would not have even thought about pursuing a year ago.
Michael Harrison – First Analysis Corp.: If I can just sneak in one more, I was curious if you could give some commentary on what you’re seeing in terms of M&A opportunities right now.
Michael J. Bradley: There still seems to be some activity out there. I think obviously with the current financial markets and debt financing it’s really slowed that industry down quite a bit, but what we’re focusing on is we have seen some interesting opportunities for smaller companies that fit very well with expanding our geography or capabilities and we continue to look at some of those opportunities as of today. I think there’s some very good opportunities out there.
Operator: Your next question comes from Martin Malloy with Johnson Rice.
Martin Malloy – Johnson Rice & Company: Could you talk a little bit more about the people and assets you acquired from CB&I and when we might start to see an impact as far as new awards as a result?
Michael J. Bradley: In terms of the people that we acquired, we acquired engineering professionals and construction professionals along with the technology to support that business. The current projects that we assumed as part of this are really what these employees we brought over are dedicated on at this point in time. So I think that they are fully employed at this point with the projects that we have assumed from CB&I. We are in the process now of integrating our engineering capabilities with their engineering capabilities and I think the combination of that is going to open up some doors for us to pursue additional opportunities that we weren’t capable of in the past, so we’ve already started in working on our integration and where we can further add to the types of projects we pursue and expand the services for our customers. We’re excited about what we see with this group going forward. I think right now is we are focused on getting the projects completed and the engineering work and continuing to execute on the backlog that we have now assumed from CB&I.
Martin Malloy – Johnson Rice & Company: In your prepared remarks you mentioned alternative energy. Could you talk a little bit more about the types of projects that you’re doing there, the magnitude, and maybe the timing of some awards there?
Michael J. Bradley: I’ve stated before that we are currently doing some feed work on a molten solar energy storage project that has the potential to go forward. We’re looking at some wind both E&I as well as wind tower erection. Other solar we’re looking at geothermal opportunities and landfill energy which are projects we have completed in the past, so we see an opportunity particularly with this administration with more emphasis and these are projects that we have the capabilities in that we are continuing to explore but we do have again the molten solar energy storage project in our feed process right now. I think some of the capabilities of the CB&I personnel coming in, they have worked on some of these projects in the past, so again we’re excited in positioning ourselves to be a player in the alternative energy market as well.
Operator: Your next question comes from Tahira Afzal with Keybanc Capital Markets.
Tahira Afzal – Keybanc Capital Markets: I had a couple of questions. Number one, you know the margins that you had, the gross margins are pretty phenomenal, and I was wondering how much of this margin, the good margins that you’re seeing, how much of that is because of pricing that you had in your backlog? Was it efficiency gains as you focused back on your core businesses with the completion of the LNG project?
Michael J. Bradley: I think the general improvement in our gross margins if you look at it over the past several quarters and you take out the LNG project, you continue to see improvement in our gross margins and a lot of that is that our focus is on improving the execution, the skill set, the project controls, the project management of our projects to better predict our performance as we go forward. So I think there’s been a strong effort on just improving the execution and the tools we have to execute in our business. As it relates to the existing projects, I think that again we’ve seen some outstanding execution from our team. The contract mix I think we have right now allows us to continue to generate good margins on our business. As to what happens over the next 12 months and what we see in the market, it’s hard to predict, but again what we are seeing across this company is less margin fade on our jobs and higher performance on our execution in general, and that’s what we’ve really been focusing on, improving the quality of our execution.
Tahira Afzal – Keybanc Capital Markets: Specifically if I look at your repair and maintenance segment, your revenues if I look at it year-over-year were roughly the same, yet your margins went up by around 100 basis points, so, that's pricing of whatever was already in your backlog... Would you say it's either pricing or execution and I guess I’m putting you in an odd spot. Would you say it’s more pricing or execution??
Michael J. Bradley: Well, I think, yeah, some of our repair maintenance work can be emergency work which, you know, during certain quarters can create better margins. But I also think a part of it's due to the better execution and the outstanding efforts that all of our employees have put forth on better estimating and executing on their projects. I think it's a combination of both.
Operator: Our next question is from Mr. Ross Taylor with [inaudible] Capital Management.
Ross Taylor - [inaudible] Capital Management: Yes, thank you. Most of my questions have been answered, but I would like to do a little bit more digging into this contract you announced today. Do you expect that contract to add to profitability this fiscal year?
Michael J. Bradley: Oh, yeah. Oh, yeah. I mean the project is just getting kicked off here in January, but it will start to generate, you know, profits for fiscal '09. Obviously the project runs through October of 2010.
Ross Taylor - [inaudible] Capital Management: Okay is that business more profitable than your core business?
Michael J. Bradley: Say it's within our, you know, our margin comfort level. So, I think, you know, it's right there with our core business as well. So, obviously we have to execute what we feel good about it.
Ross Taylor - [inaudible] Capital Management: Okay and what risks are there entailed in that contract as you look at it?
Michael J. Bradley: Well, I think, you know, with any risk - with any contract there are some risks. I think we have a structure in place with this particular project that we're comfortable with and manage the risk that we perceive to happen. And again within the parameters that give us a lot of comfort. So there's not any particular unique risk for this project other than I think obviously safety is always a higher priority of ours. It's the number one priority. And when you're working on elevated equipment, that's an effort that, you know, we'll put our best people on. So, I don’t see any unique risks on this project other than what you might typically find so I think we’re comfortable with how we structured the contract and how we’ve managed our risks.
Operator: Our next question is from Matt Duncan with Stephens.
Matt Duncan – Stephens Inc.: Hey, guys. Just a couple of quick follow ups. First of all, talk a little bit about how visibility has changed from maybe a year ago until today. You know, what is your visibility like and some projects that may be coming down the pipe from your customers right now?
Michael J. Bradley: Well, you know, our visibility a year ago at this time was pretty good. Our visibility back in August and September was pretty good. You know, we had, just to give you an example, we had a very significant project that was in the contracting phase that we had planned on that got, you know, cancelled at the very last minute late in the year. I don’t think we had any forecast or idea that was going to happen and I think was just primarily a result of company’s credit and just a fair factor in, you know, what was the market going to do. So, you know, that was - we had pretty good visibility just a few months ago. I think what we’re, you know, what we see today, Matt, is, you know, given the bid flow that we have and the projects we’re focusing on, that we’ve got a, you know, pretty big comfort level that a lot of these projects are going to go forward. I think what’s still somewhat unknown is timing, whether or not they push back a few months or two or three months, whatever it is. That’s the piece that’s not known. But the projects that we are showing right now, I think have a high probability of being funded or they are funded and I think it’s more a matter of when the timing of these awards occur.
Matt Duncan – Stephens Inc.: OK. And then another question I’ve got is with regard to steel prices, and maybe, Tom, this is more for you. You know, you’ve lowered your revenue guidance by roughly 10 to 15%. I’m curious how much of that lower guidance is due to these lower steel prices.
Thomas Long: Yes, Matt, that’s a - that’s obviously a very good question. We have been looking, you know, looking into that a bit. I will tell you that just due to the assumptions that you have to make in various contract types, et cetera, it’s not a number that we really are comfortable with to throw out at this time. But it’s clearly one that has impacted it. There’s no doubt on the down side. But to quantify it, I probably don’t have the number that I can give at this time, so.
Michael J. Bradley: Matt, this is Mike. I thin, you know, in general, we’ve seen steel prices come down, you know, over 40% from where they were, you know, back in June or so. I think the other impact other than steel prices though is that some of the AST work that we had expected to be that before the end of calendar year ’09 has been delayed. Those material revenues that we had assumed are getting pushed out. And that’s another reason why the revenue forecast was lowered that we’re not going to see the material revenues in the timeframe that we had expected.
Operator: Our next question is from [Mr. Rich] - [inaudible] Disability and Co.
[Rich]: Could you guys specify which of the SG&A costs you’re not going to incur?
Michael J. Bradley: What - as far as just some of the initiatives we’re taking?
[Rich]: The press release had stated some of the SG&A costs you had incurred in the first half will not continue.
Michael J. Bradley: Only as far as when time cut costs?
[Rich]: Right.
Michael J. Bradley: Well just looking at this from a fairly high level, you know, you could try to take it to things like, you know, some consulting costs, some things we were looking at. And it’s just overall travel. You know, it’s probably a lot more of small types of things is the way I best bring that up. Clearly we can cut back on that were centered around some various initiatives and things we look at. You know one thing I want to make sure I do bring up is, for example, we’ve talked about many a time is the new ERT project. Clearly we were looking at that and I would call kind of one time cost around that selection and looking into that project.
Tahira Afzal – Keybanc Capital Markets: ... capital that we had planned to spend that we’re going to defer at this point. Doesn’t impact our strategy but given this environment and where we’re focusing our attention on right now, we felt it was more prudent to defer that. Our maintenance capital spending, we’ve been very prudent on that as well, so I think in general, those are the categories that we are reducing our spending on in fiscal year 2009. I think additionally we do see some small acquisition opportunities and we are not in a mode that we want to take on debt and so we want to maintain a very strong financial position and cash position that would allow us to be opportunistic.
Tahira Afzal – Keybanc Capital Markets: If you’re looking at a review of your initiatives and what you’re doing going forward, my experience is that with a specialty [fund] trying to focus on a few areas sometimes makes more sense than scattering initiatives. What are the one or two key areas that we should be looking for that will show that you’re gaining market share in line with your investments?
Michael J. Bradley: I think the Gulf Coast is one and again it’s just an expansion of what we’re doing in other parts of the country, whether it be turnarounds, specialty, vessels, tank work, again, it’s an area that we haven’t put a lot of attention on in the past and we saw an opportunity particularly with the people that we brought over from the LNG project. That’s one area that we would expect to continue to see opportunities to grow our business.
Tahira Afzal – Keybanc Capital Markets: How are you tracking to see that all these initiatives that you’re taking are gaining traction? What do you look at internally, are there any milestones that you set internally?
Michael J. Bradley: We set milestones. We look at backlog growth in particular areas. Obviously we look at the investment and return on these particular areas. I think the northeast is another area that we see a lot of opportunity so that’s an area we’re focused on as well. But we do regularly review and have benchmarks on our progress in these particular areas. I think the fact that you’ve seen our backlog really stay relatively flat and again the power project and the CBI is not in our backlog is combined with the softening of the AST market is demonstrating that we are making progress in terms of diversifying and achieving some of the results that we have wanted to achieve in some of these other areas. I think that without the slippage in some of this ASTT business in the latter part of the year, it’s a pretty nice story, so...
Tahira Afzal – Keybanc Capital Markets: That means that we should be looking for sort of a quarterly booking slip of $170 million, $180 million outside projects as we’ve been seeing over the last several quarters?
Michael J. Bradley: I think that would... I’m not going to commit to an average clip, Tahira. Obviously we want to continue to grow our backlog and that’s what we are focused on doing, but not at any price. Our opportunities that are in our niche and we’re focused on growing our backlog and capturing those types of opportunities.
Tahira Afzal – Keybanc Capital Markets: Last question. This $34 million project, for [inaudible] purposes, does this go into specialized or where would you place it?
Thomas Long: Tahira, that would go into construction for the segment and go into specialized, exactly right.
Operator: There are no further questions at this time. I would like to turn the floor back over to Ms. Nguyen for closing comments.
Truc Nguyen: Thank you all for participating on this call. We look forward to the next call when we can update you further. Goodbye.